Operator: Good morning. My name is Keith, and I'll be your conference operator today. At this time, I would like to welcome everyone to the Revlon First Quarter 2021 Earnings Conference Call. All participant lines have been placed in listen-only mode to prevent any background noise. After the speakers remarks there will be a question and answer session.  Thank you.  I will now turn the call over to Jeff Kennel, Vice President, Treasury. Please go ahead.
Jeff Kennel: Thank you, operator. Good morning, everyone, and thank you for joining the call. Earlier today, the company released its financial results for the quarter ended March 31, 2021. If you have not already received a copy of the earnings release, a copy can be obtained on the company's website at revloninc.com.
Debbie Perelman : Thank you, Jeff. Good morning, everyone, and thank you for joining us. I hope that everyone in your families are staying safe and healthy. Our focus continues to be on the health and safety of our employees, their families and our consumers around the world. Our first quarter 2021 results reflect a continued sequential improvement as the business in many parts of the world begin to recover from the COVID-19 pandemic. While COVID-19 remains a significant global health threat and continues to impact our lives and our business, the positive signs of recovery continue to emerge, especially in the latter half of the quarter. Our business in the prestige and professional channels have begun to recover, and two of our four reporting segments experienced double-digit growth versus prior year quarter. Our adjusted EBITDA dollars and margin grew over prior year quarter, and our e-commerce business continues to show growth, particularly in North America and EMEA, where we experienced double-digit growth in the quarter. I am proud of the company's resilience in managing through these last 15 months and in coming together as a team to find creative solutions to pivot the business to ensure a stronger future for the company.
Victoria Dolan: Thank you, Debbie, and good morning to everyone on the call. Let me first detail our first quarter 2021 results. First quarter as reported net sales were $445 million compared to $453 million during the prior year period, a decline of approximately 2% on an as-reported basis and 5% on a constant currency basis. As reported net sales includes approximately $44 million of estimated negative impacts associated with the COVID-19 pandemic.
Debbie Perelman : Thank you, Victoria. In closing, our first quarter results reflect the continued improvement in the business. Our recent refinancing strength in our capital structure, and our Revlon Global Growth Accelerator is the road map for Revlon's long-term sustainable growth. I look forward to sharing our continued momentum forward on future calls. With that, we will now open the call for questions. Thank you.
Operator:
Debbie Perelman: Thank you. Seeing no questions today, let me say thank you to all who joined the call today and a special note to our team members around the Revlon World who are listening. Thank you for all the efforts you make every single day and continue to stay safe. Thank you. Have a good day.
Operator: And this will conclude today's program. Thank you for your participation. You may now disconnect. 